Operator: Good morning, ladies and gentlemen, and welcome to the Fourth Quarter and Full-Year Arbor Realty Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator instructions] I’d now like to turn the call over to your speaker today, Paul Elenio, Chief Financial Officer. Please go ahead.
Paul Elenio: Okay. Thank you, Keith, and good morning, everyone, and welcome to the quarterly earnings call for Arbor Realty Trust. This morning, we’ll discuss the results for the quarter and year ended December 31, 2020. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risk and uncertainties, including information about possible or assumed future results of our business, financial conditions, liquidity, results of operations, plans and objectives. These statements are based on our beliefs, assumptions, and expectations of our future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor’s expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today, or the occurrences of unanticipated events. We also have one housekeeping item we’d like to mention. Historically, we have disclosed core earnings as an important non-GAAP financial metric to assess the performance of our business effective in the fourth quarter, we are changing the name from core earnings to distributable earnings as a result of discussions between the mortgage REIT industry and the SEC over the past several months to adopt terminology, that is more descriptive of what this metric represents. This is nothing more than a name change and not a change in how we calculate the metric. Distributable earnings is calculated the same way we calculated core earnings in the past. I’ll now turn the call over to Arbor’s President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you, Paul, and thanks to everyone for joining us on today’s call. We’re very excited today to discuss the significant success we had in closing out what was an exceptional 2020 as well as our plans and outlook for 2021, which we believe will be another outstanding year. As you can see from this morning’s press release, we had another record quarter and 2020 results for one of the best years as a public company. We are very well-positioned to succeed in the current economic climate, which gives us great confidence in our ability to continue to have tremendous success in 2021. We’ve built a viable operating platform focused on the right asset class with very stable liability structures, strong liquidity and active balance sheet and GSE agency business and many diversified income streams that generate strong earnings and dividends in every market cycle. Our business model also provides many diversified opportunities for growth, which clearly puts us in a class by ourselves and allowed us to increase our dividend 3 times in 2020, while maintaining the lowest dividend payout ratio in the industry. Over the last five years, we have delivered an annualized shareholder return of approximately 22% per year, significantly outperforming our peers in each and every year, including the distinction of being the only commercial mortgage REIT in our space to deliver a positive shareholder return in 2020, despite the significant effects of the pandemic. And the performance combined with the quality and diversity of our income streams, along with a track record of consistent earnings growth and an industry low dividend payout ratio clearly differentiates us and is why we believe we are extremely undervalued and we should be trading at a substantial premium to our current price. As I mentioned earlier, we had another record quarter with our fourth quarter results reflecting the continued commitment and successful execution of our business strategy and a diverse platform we have developed. These truly remarkable results of once again allowed us to increase our dividend to $0.33 a share. This is our third consecutive quarterly dividend increase reflecting a 10% increase in 2020 and represents a payout ratio of around 70%, compared to an industry average of 95% to 100%. Before I discuss in more detail, the growth and success we had in all of our business platforms, I want to highlight some of our more significant 2020 accomplishments, which include generating substantial growth in our earnings, allowing us to increase our dividend 3 times to an annual run rate of $1.32 a share up from a $1.20 per share resulting in a nine straight years of consistent dividend growth with 19 increases over that time. Delivering a total shareholder return of 7.4% in 2020 and a [166%] [ph] cumulatively for the last five years with an annualized return of approximately 23%. Achieving industry-leading ROEs 19%, a 30% increase over the last year to do some record originations of $9.1 billion, a 20% increase from our 2019 numbers. Moving up three positions in a lead tables finishing six in Fannie Mae DUS production and number one in Fannie Mae’s small balance funding category for the second year in a row. Producing record agency originations of $6.3 billion, a 44% increase over last year, increasing our balance sheet portfolio 28% in 2020 to $5.5 billion, growing our servicing portfolio to $25 billion, a 23% increase from 2019 and a 52% increase over the last three years. Continuing to be a market leader in a non-recourse securitization [leading to] closing our largest CLO to date totaling $800 million with improved terms and flexibility and raising $250 million of accretive growth capital to fund our growing pipeline and increase our earnings run rate. To further highlight this incredible success, I would like to talk about the significant growth we experienced in all areas of our business and how well-positioned we are to continue this success going forward. As Paul will discuss in more detail, our distributable earnings for the fourth quarter were $0.49 per share, which is incredible accomplishment and is a true testament to the value of our franchise and the many diverse income streams we have created. We continue to realize significant benefits from many areas of our diverse platform including record growth in our GSE agency platform that continues to produce strong margins and increased servicing fees, continued growth and significant benefits from the size and scale of our balance sheet business, strong performance of our multifamily focused portfolios with very few delinquencies and extremely low forbearances and substantial income from our residential business. And these reoccurring benefits combined with our versatile origination’s platform, strong pipeline and credit quality of our portfolio puts us in a unique position to be able to continue to produce significant distributable earnings going forward and we are properly positioned to excel in this environment. We experienced significant growth in our GSE agency platform in 2020. We originated $2.7 billion in GSE agency loans in the fourth quarter and $6.3 billion in the full year, both which are new record levels. Equally important we also have a very robust pipeline and as a result we expect to produce strong origination volumes in the first quarter. I remain confident in our ability to continue to produce significant agency volumes in 2021. Our GSE agency platform continues to offer a premium value as it requires limited capital and generate significant long-dated predictable income streams, and produces significant annual cash flow. Additionally, our $24.6 billion GSE agencies servicing portfolio, which grew 23% in 2020 is mostly prepayment-protected and generated a $112 million a year and growing in reoccurring cash flow, which is up 27% from $88 million annually last year. This is an addition to the strong gain on sale margins we continue to generate from our origination platform, which combined with new and increasing servicing revenues will continue to contribute greatly to our earnings and dividends. From a liquidity perspective, we are very pleased to have a current cash and liquidity position of approximately $400 million, which provides us with adequate liquidity to navigate the current market conditions and gives us offensive capital to take advantage of accretive lending opportunities. This has allowed us to replace our run-off and meaningfully grow our balance sheet loan book with high-quality multifamily bridge loans that generate attractive levered returns and create a substantial pipeline of future GSE agency originations volume and long-dated servicing revenues. We are very pleased with the high-quality balance sheet portfolio we have built that is also financed with the appropriate liability structures. We grew our balance sheet loan book 28% in 2020 to $5.5 billion on $2.4 billion in new originations. This significant growth will continue increase our run rate of net interest income going forward, we also have a very robust pipeline, which we believe will allow us to continue to grow our loan book in 2021 and increase our earnings. It is also very important to highlight that over 90% of our book, our senior bridge loans, and more importantly, 80% of our portfolio is a multifamily assets, which has been the most resilient asset class in all cycles, and continues to significantly outperform all other asset classes in this recession as well. And reflecting on 2020, we had an exceptional year and clearly outperformed our peer group. We are the best performing REIT five years in a row, delivering at 22% annualized the turnover that time period, our team was extremely well positioned for this dislocation that occurred and as a result we suffered, no dilution was substantial loss in value [indiscernible] capital or high yielding debt to navigate through this recession. We also set up for continued success in 2021 to a versatile operating platform that is multifamily centered with a strong pipeline, significant servicing income, sizable balance sheet portfolio, single-family rental platform and our investment in the residential mortgage business. And as a result, we are optimistic that this year we will enter a dividend elite club of 10 straight years of dividend growth. I will now turn the call over to Paul to take you through the financial results.
Paul Elenio: Thank you, Ivan. As Ivan mentioned, we had another exceptional quarter producing distributable earnings of $67 million or $0.49 per share for the fourth quarter. We also had a record year with distributed earnings of a $1.75 per share in 2020, a 28% increase over our 2019 results. These results translated into record high ROEs of approximately 21% for the fourth quarter and 19% for the full year 2020, which reflects a 30% increase over our 2019 ROEs. We also continue to benefit from several positive aspects of our diverse business model, including significant growth in our agency and balance sheet business platform, LIBOR floors and a large portion of our balance sheet loan book and substantial income from our residential banking joint venture. And these benefits clearly demonstrate the value of our operating platform and the diversity of our income streams. And more importantly, gives us great confidence in our ability to continue to generate strong earnings and dividends in the future. As we mentioned earlier, we had another phenomenal quarter from our residential banking business. And as a result of continued historical low interest rate environment, we recorded $20 million of income from this investment in the fourth quarter, which contributed approximately $0.12 a share on a tax effective basis to our distributable earnings. The income from this investment further emphasizes the diversity of our income streams and acts as a natural hedge against declining interest rates, specifically earnings on our escrow balances. And while we believe this investment will continue to contribute meaningfully to our distributable earnings going forward, we are expecting to see some normalization in volumes and margins in this business in 2021. Our adjusted book value of December 31 was approximately $10.35, adding back roughly $63 million of non-cash general CECL reserves on a tax effective basis. This is up 6.3% from approximately $9.74 last quarter, largely due to the significant earnings we generated as well as our fourth quarter capital raise. And as a reminder, we have very little exposure to the asset classes that have been affected the most by the recession, such as retail and hospitality. Our total exposure to these asset classes is approximately $200 million or approximately 4% of our portfolio. We also believe, we’ve adequately reserve for these assets and do not feel at this point that any material further impairment will be necessary, which gives us confident that our adjusted book value of $10.35 accurately reflects the current impact of the recession. Looking at our results from our GSE agency business, we originated $2.7 billion in loans and recorded $2.4 billion in loan sales in the fourth quarter. The margins on our fourth quarter GSE agency loan sales was 1.41% compared to 1.63% for the third quarter, mainly due to the change in the mix of our loan products during the quarter, and from lower margins on our Fannie business due to a higher average loan size. In the fourth quarter, we recorded $69 million of mortgage servicing rights income related to $2.8 billion of committed loans, representing an average MSR rate of around 2.45%, which was down from 2.77% rate for the third quarter, again mainly due to larger loan sizes in the fourth quarter. Our servicing portfolio grew 9% this quarter and 23% in 2020 to $24.6 billion at December 31, with a weighted average servicing fee of 45.4 basis points and an estimated remaining life of nine years. This portfolio will continue to generate a predictable annuity of income going forward of around $112 million gross annually, which is up approximately $24 million or 27% of an annual basis from the same time last year. Additionally, prepayment fees related to certain loans that have yield maintenance provisions was $2.7 million for the fourth quarter compared to around $2 million for the third quarter. We also continue to see very positive trends related to our GSE agency business collections, which we believe reflects the strength of our borrowers and the quality of our GSE agency portfolio. We only have a handful of delinquent loans outstanding and extremely low forbearance numbers in our portfolio through January. Loans in forbearance represent less than 0.5% of our $18.3 billion Fannie book and around 5.5% of our $4.9 billion Freddie loan book, which is relatively unchanged since October, as we have had very few new requests for forbearance in the last several months. And as a result of these extremely low forbearance numbers, we have no material unrecovered servicing advances outstanding either. And our balance sheet lending operation, we grew our portfolio 28% to $5.5 billion in 2020 on $2.4 billion in originations. Our $5.5 billion investment portfolio had an all-in yield of 5.8% at December 31 compared to 5.93% at September 30, mainly due to higher rates on runoff as compared to new originations during the quarter. The average balance in our core investments was up to $5.1 billion this quarter from $5 billion last quarter, mainly due to the full effect of our third quarter growth. The average yield in these investments was 6.04% for the fourth quarter compared to 5.98% for the third quarter, mainly due to more acceleration of fees from early runoff in the fourth quarter, which was partially offset by higher interest rates on runoff as compared to originations in the fourth quarter. Total debt on our core assets was approximately $4.9 billion at December 31, when all in debt cost of approximately 3.03% compared to a debt cost of around 3.09% at September 30. The average balance on our debt facilities was up slightly to approximately $4.64 billion for the fourth quarter, from $4.59 billion for the third quarter, mostly due to financing the growth in our portfolio and the average cost of funds and our debt facilities was relatively flat at 3.05% for the fourth quarter and 3.06% for the third quarter. Overall, net interest spreads on our core assets increased slightly to 2.99% this quarter, compared to 2.92% last quarter and our overall spot and interest spread was down to 2.77% at December 31 compared to 2.84% at September 30. Lastly, the average leverage ratio on our core lending assets, including the trust preferred and professional preferred stock as equity was flat at 86% in both the third and fourth quarter. And our overall debt to equity ratio on a spot basis was also flat at 3.021 at both December 31 and September 30, excluding general CECL reserves. That completes our prepared remarks for this morning. And I’ll now turn it back to the operator to take any questions you may have at this time.
Operator: [Operator Instructions] Thank you. We’ll take today’s first question from Steve DeLaney with JMP Securities. Please go ahead.
Steve DeLaney: Thanks. Good morning, Ivan and Paul. Congrats on a strong close to a year that I think would have been hard for us to imagine, when we were sitting here last March for sure. You mentioned several times in your remarks, you talked about diversity. So with my questions, I’m going to go there away from the two main agency and structured businesses, if I may. Couple of days ago, we saw a Bloomberg article talking about a transaction that Starwood was contemplating about a $300 million loan, institutional loan on 1,600 single-family properties and it looked like it was just going to be a single – trying to do a single borrower CMBS execution. So that’s in the market and I know single-family realty, single-family rental, Ivan, is something you’ve been talking about for, I think about a year now. Maybe you could just give us an update your thoughts about that product and opportunity and kind of where your operation stands as we sit here today. Thank you.
Ivan Kaufman: Sure. We have significantly ramped up and have become the leader in single-family build-to-rent communities. I believe we have a close to $0.5 billion pipeline and have – it will now in underwriting and ready to close I would project that that volume will double and that is a great business for us we do. The construction lending, which turns into a bridge and then we do the ultimate securitization on those loans. So each transaction we get three turns on. I love that. You were able to build those communities at a similar cost that you can build a multifamily. With COVID, you’re seeing certainly a move to less density and also what you’re seeing as well as that a preferable option for people instead of buying a home, if they don’t have the down payment or if they think they’re transient. And don’t want to go through the transaction costs for that being an option. They’re great communities. We’re working with a few developers that have really developed the skill set to be able to build those products in a very efficient way, similar to at a costs for multifamily project. We love it. We’re continuing to provide financing for people who are aggregating pools of single-family rentals with the idea of ultimately doing a securitization or selling them off in pieces, depending on whether we think we can get to just securitization market in time or whether we want to just distribute those products. So those are two revenues we’ve invested in starting two years ago. They’re starting to bear a lot of fruit right now, and they’re going to represent significant amount of growth for the firm. And we just love that business.
Steve DeLaney: Right. And the construction and bridge loans, are they currently - that are on the books, are they currently carried in the structured portfolio.
Ivan Kaufman: Paul, you can answer that.
Paul Elenio: Yes. Hey, Steve. So, yes, as Ivan mentioned we’re building a pretty strong build-to-rent business, as well as the construction into bridge. So when – if it’s a bridge, it’s in the bridge product, the build-to-rent obviously funds over time. So you don’t see a significant amount of that in the volume numbers we present as the drawers get done, you do. But the committed volume is something that’s pretty significant, but yes, it all ends up in the structured side of the business bucket for now.
Steve DeLaney: And Ivan, to be clear and last part on this question, you’re going to eventually, you’re going to go to a permanent loan and you’re in the process, I guess if some bridge loans mature, getting to the point where they’re stabilized and they’re going to go into a permanent, but you’ve not – to this point, you’ve not executed a securitization, is that correct, but maybe that’s 2021.
Ivan Kaufman: They actually resemble very much multifamily loan, some of agency [are little low] [ph], some go on top private label program. So it doesn’t need its own securitization. It fits right in, which is remarkable. So it fits right into how business flow and process, and it’s just accretive to what we’re doing.
Steve DeLaney: Okay. Thank you for that clarity. The second piece is on the resi JV. I mean, it’s been a great year for that business, obviously seeing a lot of IPOs in the space. Could you just remind us on cardinal, the channels that they’re focused on, whether it’s direct or wholesale and the percentage of the business that is refi versus purchase? I know there’s a lot of obviously concerned that refis will – refi side of the business will come down pretty materially, not right away, but maybe by the end of 2021. Thanks.
Ivan Kaufman: First, we’ve been extraordinarily cautious in the way we’ve been forecasting it and we’ve been exceeding our all forecast by a lot every single quarter, quarter by quarter by quarter. And that’s been going on for quite some time. With respect to the strategy, it’s more of a retail strategy, not [indiscernible] strategy, but we are diversifying channels. And Paul, you can answer the financial related questions.
Paul Elenio: Yes. So it’s like you said, Steve, it’s consumer direct and retail. It has been and probably continues to be for a period of time, a pretty big refi component as you know. I don’t have the numbers in front of me, but it’s really high percentage of the volume. However, having said that, the business is national across the country, has a tremendous retail presence as you know, home ownership is on the rise. And so we do expect that the refi business will slow down a bit and margins will compress a little bit, but we have a tremendous network and a tremendous infrastructure and a big focus on technology and believe that that business will do quite well on the home purchase side as well.
Steve DeLaney: Right. I mean, the ROEs are insane right now. It can go down - volume and revenue can go down quite a bit and still have incredible ROEs. Thank you both for your comments.
Operator: We’ll take our next question from Charlie Arestia with JP Morgan. Please go ahead.
Charlie Arestia: Hey, good morning guys. Thanks for taking the questions. A bit of a follow-up, I guess, to the first question in terms of the topic, but kind of looking at it through a different lens. Given the focus on the New York area in particular, it would be great to get your thoughts on the competitive environment there. And I’m assuming that the single-family rental is part of this, but some of the unique challenges that New York City faces in particular with regards to some of the demographic trends and population shifts that are happening there.
Ivan Kaufman: First of all, if you don’t have a significant concentration in New York, I think what you’re doing in New York is you’re going through a recalculation of rental values as well as sales values you’re seeing. A lot of rentals, you’re seeing a lot of sales in fact record numbers right now. But at a significantly reduced sales price percentage, as well as rental. At these new basis, we’re quite bullish. We like New York City, we think come September when the schools open, people go back to work, you’ll see the city begin to return to normal. You just have to underwrite appropriately for what the right rentals are, and you have to take into consideration its potential for an increase in real estate taxes. So our portfolio is performing well there. We’re optimistic that the leasing will be done. It’ll be done with some concessions and it’ll be done with reduced rental rates. So underwriting appropriately, getting the right thrust on our bridge loans is critical and giving the loans the right amount of time to hit those [indiscernible] numbers. But I think come September, we’ll look back and say, wow, we began to return to normal fairly quickly, it’ll be a new normal.
Charlie Arestia: Okay. Got it. Thanks. And then one more, I was wondering if you guys have ever disclosed sort of rough breakout of what percentage of your origination volumes are to existing or previous Arbor borrowers. It feels like, things are certainly improving more broadly, but the sector is really leaned on those preexisting relationships to drive volumes. Curious to get your thoughts on the mix of previous borrowers versus new relationships.
Paul Elenio: Charlie, it’s Paul. We have not disclosed that in the past, but Ivan can certainly give some color. We obviously have tremendous relationships and do a significant amount of business would repeat borrowers, but he certainly can give you some color on the market and what’s happening today in those areas.
Ivan Kaufman: Yes. Our business is built and people always keep in mind in the multifamily sector. When you have a borrower who oftentimes a lot of limited co-borrowers, and you’ll see a repeat of not just that particular GP, but of the limited to buy all the properties, not uncommon for us to have 10 to 20 loans with a particular borrower and constantly we engage them with that particular borrower, but that’s the nature of our business. And even when we do deal with mortgage brokers, we can generally more importance, we’re very loyal to us and then a repeat level of business from that mortgage broker and that’s very consistent.
Charlie Arestia: Thanks very much guys. Appreciate all the color.
Operator: Our next question is from Stephen Laws with Raymond James. Please go ahead.
Stephen Laws: Good morning, Ivan and Paul. You both touched on the strong volumes and then certainly last year closed with the record volume is $2.7 billion. Can you talk about year-to-date volumes or expectations here that we should think about as we model out volumes for 2021?
Paul Elenio: Sure. Let me start, Stephen, just giving you some color on how January closed out and then Ivan and I will talk a little bit about globally, how we view things for the rest of the year. So in January, we did about $500 million of agency loans. I think if you go back and look at our production in the past year, in the second quarter we did $1.4 and the third quarter, we did $1.5. And obviously in the fourth quarter, we put up a month the number of $2.7 billion. So on a run rate right now, we’re probably tracking to $1.4 billion, $1.5 billion for the first quarter and possibly for the second quarter. Ivan will give some color on where he thinks the agency business goes from there. On the balance sheet side, we’ve also been very active. We’ve had a large balance sheet pipeline as well. And I think in January, we did about $400 million to $450 million of volume, and we had about $50 million run off. So we’ve had about $400 million of net growth in January to our book. Don’t know what pace, that happens, it’ll all depend on what roll off we see going forward. That’s always a challenge, but our pipeline is very, very strong and we’re very confident we’re going to be able to grow this book pretty substantially in 2021 as well.
Ivan Kaufman: Yes. We’re off to a good start. We have a great pipeline. Our bridge pipeline or balance sheet pipeline is extraordinarily strong, where many people were very negatively impacted on the pandemic, didn’t have the right liability structures, didn’t have the right banking relationships. We didn’t miss a beat. So we’ve gained market share. We’ve gained a lot of momentum. The securitization market, we believe is going to be extremely attractive going forward. And I think that will continue similarly along the lines, if not greater than what we did last year. So we’ll see good growth in the balance sheet portfolio and hopefully a consistent level of building up pipeline and continuing at the levels that we closed in January, if things remain constant.
Stephen Laws: Great. Thanks. Thank you both for the color on that. So just another on the financing side, Paul, can you talk about the recent CLO the market reception plans for future issuance and how we should think about that for sure?
Paul Elenio: Sure. So as you know, we did…
Ivan Kaufman: Paul, let me cover that a little bit.
Paul Elenio: Sure.
Ivan Kaufman: Because we really can’t talk about going forward with what we’re doing in impairs what we do, but the securitization market is tightened dramatically from where it was 30 days ago, 60 days, and 90 days ago, we think has had tight levels, almost as tight as it was pre-COVID. And we have probably the greatest brand in the CLO market. We have a good collateral position on our lines and we always maintain a very good percentage and mix of CLO debt, the total debt. So we think that market is perfect. We got very aggressive to load up our balance sheet, understanding that mark with tighten and we feel very optimistic about us being able to access that market. Paul, you want to add some color?
Paul Elenio: Yes, that’s exactly what I was going to say. Stephen, it’s a big part of our strategies as you know. We’ve been a serial issue or someone who’s had a tremendous brand and reputation. And as Ivan said, we manage and by looking at the market and seeing when we think it’s appropriate to access that market. And it’s just part of our normal strategy and we continue to do that as we move forward and we’ll see why don’t if we get there and what had happened.
Stephen Laws: Great, appreciate the comments.
Operator: Next question is from Jade Rahmani with KBW. Please go ahead.
Jade Rahmani: Thank you very much for taking the questions. In terms of the structured finance business, the on balance sheet business, two questions, first, what drove the almost $1 billion of originations. Maybe you could give some color as to how many deals that encompassed, what percentage were repeat customers and how much were refinancings of existing deals. And then secondly, how are you thinking about the ROEs in that business, given the spread compression that we’re seeing in the stabilized data types.
Ivan Kaufman: With respect to refinancing of our own portfolio, it’s a very small percentage. That’s not something we custom, I really do, unless there’s a accretive reason to us and to the borrower. But that’s not a primary aspect of our business. We’re always proceed with a tremendous question of it’s a bridge to bridge levers our own or somebody else’s. With respect to the ROEs, we generally look for around anywhere between a 10 and a 14 with an average of a 12 is where we originate to. We actually think with where the securitization market is. I think we can probably see a little bit of a lift in that. Relative to the volume that we’ve done, it’s almost as though it was like we were one of the last man standing, most people were still looking their owns. They were very impaired by COVID by being over leveraged and not being prepared. And therefore, really we’re not in a position to originate the loans. And a lot of us to really step in, particularly on the larger loan side, a lot of firms were out there doing extraordinarily aggressive. And they were originating a very tight spreads without the right structure. Many of those firms got hurt, kind of left a little bit of a voice will give us an opportunity to build some large loan positions with great structure and great pricing. And even though, competition’s returning to the market, I think we’ve gained real favor and originations of those products with a good percentage of our product being repeat customers.
Paul Elenio: Yes. And just to add to that, Ivan, all as absolutely correct. And from a number of transactions perspective, we did about $950 million of straight bridge loans, the rest where some of our SFR business, and on that $950 million, we probably had 30, 35 deals. So we did have some chunkier deals as Ivan mentioned in there. And he said, we have not a lot of that at all is refinance. Some of it was, but not that much. And I love it returns are right in the area that Ivan was talking about.
Jade Rahmani: And you said January balance sheet production is $450 million to $500 million.
Paul Elenio: We did about $450 million in January already and had about $50 million of run-off. So we had net growth in January of about $400 million. That’s correct. Was it really strong, Ivan?
Ivan Kaufman: Yes, I just want to – with respect to our returns, keep in mind that it’s really exponential in a way, because my goal is to create an agency lending loan out of that, which gives us gain on sale as well as servicing revenues. So if we build our balance sheet and fees our agency business, which is part of our model on our franchise, to the extent that business can grow. It will grow the annuity on a long-term basis. So the returns become exponential where we capture at all places.
Paul Elenio: That’s right.
Jade Rahmani: And what’s the mix of multi-family and the bridge lending business, because I’ve always asked the commercial mortgage REITs why they don’t have an exit strategy in terms of recapturing a business, once it goes out of transition. And none of them have a good answer for that, but seems like Arbor’s unique amongst that in terms of being able to refinance that.
Ivan Kaufman: Yes. We are extraordinarily disciplined in our approach and I mean just off the cuff and Paul will correct me, I think a 100% of the loans that we originated in the fourth quarter and so far in the first quarter were all multi-family, I’m pretty sure. Yes, but generally it’s almost 80% to 90% is multi-family, all multifamily loans that we originate on our balance sheet, our size within a agency takeout, that’s our business model.
Paul Elenio: Yes. And we – and Ivan drive, we had 98% of the fourth quarter originations are multi-family, a 100% of the first quarter origination so far were multi-family. So those percentages are always extremely high for us. And we obviously get the takeout if we can on the agency side as well.
Jade Rahmani: In terms of the sustainability of the GSE volumes, is there a refinance component that you think is likely to abate in coming quarters if interest rates normalized? I know that their interest rate there are – sorry, their lending caps were basically increased, but seemed flat with what they did in 2020. So I’m not expecting their overall volumes to increase. And a little worried about what happens if rates pick up from here. So how do you think about the sustainability of the GSE business?
Ivan Kaufman: I think it’s important to note different than other asset classes and more importantly, different than the single family businesses that most multifamily loans that are originated and done on five, seven and 10-year terms. And many of them are done, especially the value-add on one and three-year times. So there’s a continued flow and pipeline of loans that have to be refinanced just based on historical maturities. It’s not as though single family loans, which are the 30 maturity our interest rate driven or driven by home purchases. So that is a significant amount of business. We expect that the agency’s at the $70 billion to $80 billion level, which is similar to where it was last year. They will fill up. We will have our market share and that’ll be a strong market. There are certain times when interest rates dip like they did when they would down to 75 days plus of the 10-year that people got extraordinarily aggressive and they move very quickly. And there’s a bit of a jump. And then there are times like now where the rates jump up from 75 to 130, and people take a pause and they have to rethink where they are, but 125 basis points on a 10-year with low 3s as your interest rates are still at historical lows and anything that was originated over the last 10 years most of that will qualify for an accretive refinance of ours. So we’re quite optimistic. I think the real question comes on the purchase side, is there enough inventory out there, audit transactions going to grow is the purchase market going to be in 2021 where it wasn’t 2019, but it should be a robust big market on the multifamily side. And we should be able to maintain and get our share.
Jade Rahmani: Thank you. And just last question on the credit side, looking at the agency business, I think you’ve said forbearances in the Fannie Mae DUS portfolio were 0.5% and in the Freddie Mac portfolio of 5.2%. So a tenfold difference between Freddie and Fannie have asked other folks like Walker & Dunlop to pine on the reasons why that is some of the stuff that relates to the average smaller loan size in the Freddie Mac portfolio, possibly it relates to the risk sharing nature of DUS of our strategy. So what do you think the reason is for the higher forbearance in Freddie Mac? And secondarily, are you worried at all about migration of that 5% forbearance into future delinquencies?
Ivan Kaufman: So first, our forbearance specific on the small balance about perform the rest of the group. And Freddie Mac’s forbearances are higher than Fannie Mae are policies a little bit different with respect to any potential losses that come from these, we’re not concerned at all. We think the properties are well in the money. We think from September things will return to normal. And we’re fairly comfortable that we’re in a good position on all those loans. I think there was a level of dislocation our supply for forbearance properties returning to normal, but keep in mind that there’s a lot of cap rate compression right now on the multifamily side. So even if you have a little softening on rents and a little rent decline, and even a little bit you can see that’s really offset by cap rate compression. So we think the value is pretty stable and the demand from investors to buy multifamily is really outrageous. And we’re very, very comfortable with that portfolio.
Jade Rahmani: Thank you.
Operator: Our next question is from Lee Cooperman with the Omega Family Office. Please go ahead.
Lee Cooperman: Thank you. Let me just first to congratulate you and your team Ivan. You guys have done a terrific job for the shareholders and you stand out in a class by itself, and I think you deserve a shout out and I’m leaving that. Now let me move on to more relevant stuff. Let’s talk a little bit about capital adequacy and your cost of equity versus your return on equity. And several times in the call, and you’ve said this in the past, you’ve proven to be a 100% right. You felt your stock was substantially undervalued yet, you’ve been willing to sell stock to financial growth. So I guess the answer is you sell something cheap, because you think you could reinvest the money had even more attractive terms. So maybe you could spend a little time talking about your return on every dollar you raise, what kind of return can you generate on that dollar incrementally? And any thoughts on that would be very interesting to me.
Ivan Kaufman: So when we’re raising capital, it’s usually to fund our growth. So in this particular business, we have to evaluate whether we’re going to have run-off on our balance sheet portfolio, what we can add to it, and whether we can add to it accretively. And if we can increase our balance sheet portfolio and get a return north of 12%, and as much as 15% sometimes. We’ll evaluate whether it’s worth raising capital to fund that growth if this growth in our balance sheet. And it’s really just a mathematical analysis that Paul performs. He makes decisions where we surprise our loans and how accretive it is, and whether it’s worthwhile bringing in and growing the balance sheet or the accretive returns. It’s just a mathematical analysis. Paul, you want to comment on that?
Paul Elenio: Sure. That’s right. Hi Lee, and yes, so we have a pretty robust pipeline. The only question is where does run-off go? And if run-off is stronger than we have those dollars to fund the growth, if it’s not, then we assess whether we want to do loans that those yields and raise capital at these prices or whatever prices we are. And historically, as you know, Lee, we’ve done, as you said a great job of being real good stewards of capital with high inside ownership. So it’s an analysis we do. And if we think we can raise capital at accretive prices to fund loans that generate, let’s say a 13% to a 14% ROE or 12% to 15%, as Ivan said, and that’s an analysis we do. And we look at it and say, if it’s accretive, then we go forward. And that’s exactly how the analysis works. And we do think that we can raise capital to fund growth that would be 13% to 15% on an ROE.
Lee Cooperman: So will you sell shares because you think you can reinvest the money that would be accretive even though the stock is undervalued in your view?
Ivan Kaufman: Well, it all depends on whether or not the accretive of our growth and strengthen our balance sheet and have a longer-term growth that’s…
Lee Cooperman: Well, clearly trends in your balance sheet, your book value is 10.35. You stock trading over 16. Since the extent you sell stock well in excess of book value, which you’ve not been able to do in the past, it’s accretive, but on the other hand, you’re selling something that you think is worth more than you’re selling it, then only makes sense if you can basically invest the money in a return that enhances the overall picture of the company, which you’ve been able to do. And so you’re saying you can invest at 12% to 15% ROE, is that after the leverage you employ?
Paul Elenio: Yes.
Ivan Kaufman: Yes. So as I mentioned earlier, Lee keep in mind that that 12% to 15% is really greater than that when we captured and it’s more like a 30% to 40% return. So if we can recapture 60% to 70% of what we’re originating right, that’s a long time annuity growth and it’s the best capital raise we can do. And that goes into our analysis as well.
Paul Elenio: Yes. That’s where I was going next. We’re having is on the end loan. We’re capturing a lot of that bridge business Lee into Fannie Mae and agency end loans, which not only gives us gain on sale, but it gives us 9, 10 years of servicing that’s prepayment protected and locked out at a higher multiple. So that is all factored into the equation as well.
Lee Cooperman: Again, I want to congratulate you guys on negotiating and really traversing an environment, very difficult environment, extraordinarily well, congratulations.
Paul Elenio: Thank you, Lee.
Ivan Kaufman: Thanks a lot, Lee for your support.
Operator: We’ll go next to Matthew Howlett with Wolfe Research. Please go ahead.
Matthew Howlett: Hey guys, thanks for taking my questions. Two questions if I may. First, you’ve got great momentum on the agency bits. So just want to confirm, there’s obviously a mission driven rule now where 50% of the volume app to be with renters at 80% of the median income. I just want to double check on the conformity of your volume versus the – those new caps. And then I think I read the Fannie increasing their GC on the multi-family business. Both of them clearly said that that they’re going to have to start operating on the new – collaboratives new capital requirement, which was higher than the prior one, whether that would have an impact on any gain on sale margin. That’s the first part.
Ivan Kaufman: With respect to the mission driven, if we’re not the number one mission driven business, we’re in the top tier. We’ve always been very, very mission driven. We’re focused on workforce housing, which has been the space for and with a lot of emphasis on those forbearance loans, but fits our criteria. So we’re one of their top clients in that space and that bodes well for us. So we sets our criteria.
Matthew Howlett: Got it.
Ivan Kaufman: What was your second question?
Matthew Howlett: On the GC, they’re both entities are going to start conforming to their new capital requirements that were unveiled in November, whether or not that would pressure any margins going forward if they do adjust a G fields.
Ivan Kaufman: Yes, listen, I think what the agencies are going to do is they’re going to originate. There are $70 billion or $80 billion adjusted fees up and down, depending on what their volumes are and we’re going to get our market share. And as if you’ve read, we have our own private label programs. So to the extent the GSE is widened a little bit. We’ll do more volume on a private label program, which we’re well-positioned for. So I think regardless of the environment, we have the tools to be very effective.
Matthew Howlett: Got it. And then second question, just to follow-up on Lee’s question, yes, look at your capital structure, particularly like your preferred some of the unsecured debt coming. It’s a lot higher costs and where you could issue today. I’m assuming as you grow, it’s going to even improve. I mean I’m looking at 8% coupons or prefers and you probably at some point could issue at 6% and then the unsecured debt is a little bit higher, which is from stuff that’s new. What can you tell me about what you did with the balance sheet or on that those sides of the balance sheet? Can you call it the fruit callable? And I know you have to make whole premiums on the unsecured stuff, but what could you do to lower the cost of your debt capital and your preferred equity capital and maybe issue on those channels as opposed to...
Paul Elenio: Sure. So let me handle the preferred side. You’re a 100%, right, Matt. It is callable. The preferred, it was – it had a core protection. That core protection has expired. It’s only $90 million, but it is callable, is trading at a coupon above eight. I’ve been looking at the market it’s possible to introduce a new instrument like that and maybe in the sixes, maybe even better as things starting to tighten. And there’s another area as well, right. There’s an orb here. Right now our dividend yield is still higher than we want it to be. And we think we’re undervalued. And if we were able to get a premium value at some point, there’s also an orb on taking that out with equity, if the dividend yield is inside of that. But right now we’re just – we’re looking at that it’s very small. We’ll continue to manage that. It won’t have a massive impact on our cost of funds, but it is something we are watching. The other areas, as you said, the senior unsecured notes are kind of all locked out and we’ve got tremendous rates on that piece of – those pieces of paper. So we’re in a good spot right now on that. And as Ivan mentioned, as we continue to march forward, we’ll see how successful we are in the future as we have been at accessing the securitization market, which continues to drive down our cost of funds. Those are the things we look at. We continue to work with our banking lines that making sure we continue to get the tightest spreads in the tightest pricing, and we’ve made significant improvements there as well. And that’s just part of our culture and that’s just part of how we run our business.
Matthew Howlett: That’s great. And I really appreciate, just getting back to the preferred. I know it’s a small issue, but do you think you could maybe given the growth of the company and then go into the balance sheet, you could take – you could improve the – you could increase to maybe $100 million, $200 million in size into a 6% deal. It seems it would be accretive to the massively accretive to your investment business. So just curious on how you can take it.
Paul Elenio: Yes. I have to look at it, I’ve looked at it a while ago and it was in the high 6s then I think it’s tightened since then. And I have to look at how much we can add. But again, the preferred isn’t common, it’s preferred, but it’s a good instrument and you’re going to add call protection to it when you do it. So you have to balance that the new call protection with the rate. And I think you’re right. I think we can be well inside this number and it’s something we’re going to look at.
Matthew Howlett: I really appreciate it. Thanks.
Operator: That’s appear we have no further questions. I’ll return the floor to Ivan Kaufman for any closing comments.
Ivan Kaufman: Okay. Well, thanks, everybody for your participation, and more importantly for your support during a very, very difficult year. We had a record year in 2020, a great fourth quarter, actually a record fourth quarter. We’re off to a great start 2021. And my goal is to enter the dividend elite club and have 10 straight years of dividend growth. And I feel very optimistic about our ability to achieve that. Have a great day, everybody, and a great weekend, do well.
Paul Elenio: Stay safe, everyone.
Operator: This will conclude today’s program. Thanks for your participation. You may now disconnect.